Operator: Good morning. And welcome to the New Mountain Finance Corporation Third Quarter 2024 Earnings Conference Call. All participants will be in listen-only mode. [Operator Instructions] After today’s presentation, there will be an opportunity to ask questions. [Operator Instructions] Please note, this event is being recorded. I would now like to turn the conference over to John Kline, President and Chief Executive Officer. Please go ahead.
John Kline: Thank you, and good morning, everyone. Welcome to New Mountain Finance Corporation third quarter 2024 earnings call. On the line with me here today are Steve Klinsky, Chairman of NMFC and CEO of New Mountain Capital; Laura Holson, COO of NMFC; and Kris Corbett, CFO and Treasurer of NMFC. Steve is going to make some introductory remarks, but before he does, I’d like to ask Kris to make some important statements regarding today’s call.
Kris Corbett: Thanks, John. Good morning, everyone. Before we get into the presentation, I would like to advise everyone that today’s call and webcast are being recorded. Please note that they are the property of New Mountain Finance Corporation and that any unauthorized broadcast in any form is strictly prohibited. Information about the audio replay of this call is available on our October 30th earnings press release. I would like to call your attention to the customary Safe Harbor disclosure in our press release and on Pages 2 and 3 of the slide presentation regarding forward-looking statements. Today’s conference call and webcast may include forward-looking statements and projections, and we ask that you refer to our most recent filings with the SEC for important factors that could cause actual results to differ materially from those statements and projections. We do not undertake to update our forward-looking statements or projections unless required to by law. To obtain copies of our latest SEC filings and to access the slide presentation that we will be referencing throughout this call, please visit our website at www.newmountainfinance.com. At this time, I’d like to turn the call over to Steve Klinsky, NMFC’s Chairman, who will give some highlights beginning on Page 5 of the slide presentation. Steve?
Steve Klinsky: Thanks, Kris. It’s great to be able to address you all today, both as NMFC’s Chairman and as a major fellow shareholder. Adjusted net investment income for the quarter was $0.34 per share, in line with our implied guidance and more than covering our $0.32 per share regular dividend that was paid in cash on September 30th. Our net asset value per share of $12.62 declined $0.12 or 0.9%, demonstrating relatively stable credit performance across our portfolio. Importantly, we had no new non-accruals during the quarter. Given our earnings of $0.34 per share this quarter, we will make our seventh consecutive variable supplemental dividend payout. The variable supplemental dividend for this quarter will be $0.01 per share. NMFC will pay these distributions on December 31st to holders of record as of December 17th. Inclusive of this dividend, we will have paid $0.20 per share in supplemental dividends since we commenced the program in Q2 of 2023, when base rates and asset spreads were each 50 basis points to 60 basis points higher than they are today. Looking out over the coming quarters. Based on our current view of base rates, credit spreads and market conditions, we expect to continue to cover our base dividend, but do not expect to pay supplemental dividends. Furthermore, although we do not think we need any protection to pay the regular dividend, during 2025 and 2026, if we earn quarterly NII below $0.32 per share, we have pledged to reduce our incentive fee to the higher of 15% or the percentage needed to achieve NII of $0.32 per share. Again, we currently do not expect to need this pledge, but it is in place. We believe the strength of New Mountain and of NMFC is driven by the consistency of our strategy and the quality of our team. New Mountain overall now numbers over 260 members and the firm has developed specialties in attractive defensive growth, that is, acyclical growth sectors such as life science supplies, healthcare information technology, software, infrastructure services and digital engineering. When pursuing our credit investing efforts, we utilize our extensive group of industry experts to provide unique knowledge and expertise that allows us to make very informed, high conviction, underwriting decisions. Over the last year, we have continued to expand the quality of our overall team. New Mountain’s private equity funds have never had a bankruptcy or missed an interest payment, and the firm now manages over $55 billion of assets. Similarly, NMFC has experienced only 13 basis points of average annualized net realized losses in its over 13 years as a public company, while paying out over $18 per share of cumulative dividends. We believe our loans today are well positioned overall in defensive growth industries that we think are right in all times, and particularly attractive in less certain economic times. Finally, we as management continue as major shareholders of NMFC. I and NMFC’s other senior management employees currently own approximately 12% of NMFC’s total shares personally. With that, let me turn the call to John.
John Kline: Thank you, Steve. I would like to begin by offering a broader review of our direct lending investment strategy and long-term track record. Starting on Page 8, we highlight our exposure to a diversified list of defensive, non-cyclical sectors. These sectors map to the industries where New Mountain has made successful private equity investment and where our firm’s knowledge is the strongest. We seek to make investments in companies with durable growth drivers, predictable revenue streams, margin stability and great free cash flow conversion. As you can see from the industry pie chart on Page 8, we have virtually no exposure to cyclical, qualitative and sectorally challenged industries. Our strategy has been consistent over our 13-plus years as a public company and it allows us to operate with confidence in any economic environment. Page 9 provides key performance statistics showing a long-term track record of delivering consistent, enhanced yield to our shareholders by minimizing credit losses and distributing virtually all of our excess income to shareholders. Since our IPO in 2011, NMFC has returned over $1.3 billion to shareholders through our dividend program, generating an annualized return of approximately 10%. Our current portfolio invests in companies within high-quality industries that are performing well and where our last dollar of risk is approximately 40% of the purchase price paid for the business. We lend primarily to businesses owned by financial sponsors who are sophisticated and supportive owners with significant capital that is junior to the loans that we make. Turning to Page 10, the internal risk ratings of our portfolio improved quarter-over-quarter, with 97.3% of our portfolio rated green compared to 97% last quarter. This represents the highest level of green-rated assets since we began using the heatmap rating system in 2020, as well as the first quarter in which we have no companies rated red. Our most challenged names, marked orange, represent only 1.1% of NMFC’s fair value, making them a negligible part of our portfolio. The updated heatmap is shown in its entirety on Page 11. Given NMFC’s orientation towards defensive sectors like software, business services and healthcare, we believe our assets are well-positioned to continue to perform no matter how the economic landscape develops. Similar to the last two quarters, we did not have any negative risk rating migrations in Q3. In fact, the vast majority of our investments continue to experience both top- and bottomline growth consistent with our underwriting. We remain optimistic about the prospects for many of our non-green names. Notably, one of our yellow names was partially repaid at par during the quarter and has improving prospects going forward. Turning to Page 12, we provide a graphical analysis of NAV changes during the quarter, resulting in a book value of $12.62, a $0.12 decline in book value compared to last quarter. Overall, the quarter benefited from very good core credit performance, cap rate tailwinds in our net lease portfolio and a write-up on our equity investment in HB Wealth Management, offset by declines in the value of Permian and Edmentum. While Permian’s core business remains stable and growing, we reduced the carrying value of our equity stake as a result of the loss of an upside opportunity to expand an existing contract in the energy transition sector. Additionally, we again modestly reduced the carrying value of our equity stake in Edmentum, whose end markets are normalizing after very strong performance during the years impacted by the pandemic. Page 13 addresses NMFC’s non-accrual performance. On the left side of the page, we show the current state of the portfolio, where we have approximately $3.3 billion of investments at fair value, of which only $37 million or 1.1% of the portfolio is currently on non-accrual. On the right side of the page, we show our cumulative credit performance since IPO, where NMFC has made over $10 billion of investments while realizing losses of $71 million. This represents an average annualized net realized loss rate of approximately 13 basis points since IPO. On Page 14, we present NMFC’s consistent and compelling returns over the last 13 years. Cumulatively, NMFC has earned over $1.3 billion in net investment income while generating only $71 million of cumulative net realized losses and only $38 million of cumulative net unrealized depreciation, resulting in over $1.2 billion of value created for shareholders. I will now turn the call over to our Chief Operating Officer, Laura Holson, to discuss the current market environment and provide more details on NMFC’s quarterly performance.
Laura Holson: Thanks, John. Sponsor-backed M&A remained episodic in the third quarter, with pockets of deal flow but overall activity below normal levels. Despite that, we still have found opportunities in our defensive growth verticals where we can make loans that attach a $1.1 in the capital structure at attractive double-digit yields while staying very selective. Deal structures remain compelling, with significant sponsor equity contributions representing the vast majority of the capital structures. We remain bullish on the outlook for M&A activity, given the magnitude of dry powder for private equity, the ongoing pressure to return capital to LPs, as well as attractive financing markets for borrowers. As base rates decline, the bid-ask gap between buyers and sellers may narrow, which should also facilitate a pickup in activity. The general consensus is that activity should really take off again in early 2025. When a more regular deal flow environment returns, we would expect additional opportunities to deploy capital at attractive risk-adjusted returns, as well as an increase in fee income that comes along with portfolio velocity. The direct lending market generally remains the financing market of choice for sponsors, as the majority of private equity firms still recognize the benefits of the direct lending solution, including more certain execution, more flexibility around creating a bespoke capital structure, and the ability to hand-select lenders. In addition to new deal activity, we have seen continued opportunistic refinancing, as well as add-on financing within our large portfolio of over 125 unique borrowers. This provides an ongoing opportunity set to make incremental loans to existing, well-performing portfolio companies seeking to pursue accretive M&A. Page 16 presents an interest rate analysis that provides insight into the effect of base rates on NMFC’s earnings. The NMFC loan portfolio is 86% floating rate and 14% fixed rate, while our liabilities are 53% floating rate and 47% fixed rate. During the quarter, we successfully issued our second investment-grade bond. Similar to our first issuance, we fully swapped this debt from fixed to floating rate. As we continue to access the investment-grade market in the future, we would expect to hedge interest rate risk in this manner. Furthermore, pro forma for the 2022 convert and the 2021 unsecured notes maturities over the next 15 months, we expect our mix will evolve significantly to 76% floating and 24% fixed rate. We highlight our sensitivity to interest rates on the bottom chart. While we would expect to see earnings pressure in the scenarios where base rates decrease, we are evolving our capital structure to help offset some of that pressure. Namely, as mentioned, we have been swapping our new fixed rate exposure to floating rate, and we also have some opportunities to potentially refinance some shorter-dated, higher-cost fixed rate debt. Our 7.5% converts mature in October 2025 and our 8.25% baby bonds are callable in November 2025, both of which represent opportunities to hopefully refinance at lower rates. Moving on to Page 17, in Q3, we originated $146 million of assets and had $102 million of repayments and sales, allowing us to remain fully invested at our target leverage range. Our originations consisted of investments in our core defensive growth power alleys, including niches of business services and enterprise software, as well as a small upsize in our senior loan program. The SLPs in aggregate represent a modest 8% of our portfolio at fair value, with tremendous underlying diversity across 96 unique borrowers. While we don’t expect this to grow materially as a percentage of our fund, the SLPs are an important contributor to our overall yield profile. Turning to page 18, similar to last quarter, approximately 75% of investments, inclusive of first-lien SLPs and net lease, are senior in nature. Second-lien positions represent just 8% of our portfolio, down from 9% last quarter and 17% in Q3 of last year. Approximately 7% of the portfolio is comprised of our equity positions, the largest of which are shown on the right side of the page. We continue to dedicate meaningful time and resources to business building at these companies, all of which we believe are making positive progress in advance of potential medium-term exits. Our ability to own and operate businesses is a key differentiator. We leverage the full operating capabilities of our private equity team and approach our credit equity positions like any other New Mountain Capital-owned business. Page 19 shows that the average yield of NMFC’s portfolio decreased to 10.5% for Q3, primarily due to the downward shift in the forward SOFR curve. Generally speaking, even though spreads are tighter, as evidenced by lower yields on our originations compared to on our repayments, yields remain attractive and support our net investment income target. Page 20 highlights the scale and credit trends of our underlying borrowers. As you can see, the weighted average EBITDA of our borrowers has increased over the last quarters to $189 million. This is primarily attributable to originations of some larger companies, as well as growth at the individual companies we lend to. While we first and foremost concentrate on how an opportunity maps against our defensive growth criteria and internal New Mountain knowledge, we believe that larger borrowers tend to be marginally safer, all else equal. We also show the relevant leverage and interest coverage stats across the portfolio. Portfolio company leverage has remained consistent over the last several quarters. Loan-to-values continue to be quite compelling and the current portfolio has an average loan-to-value of 41%. The weighted average interest coverage on the portfolio was again flat at 1.7 times this quarter, and we’d expect that to increase from here as base rates decline. We’ve seen sponsors continue to proactively support company liquidity and continued M&A activity. This is a great indication that our portfolio consists of companies that are performing well and are able to attract additional investment at healthy valuations. Finally, as illustrated on Page 21, we have a diversified portfolio across 128 portfolio companies. Excluding our fund investments, the top 10 single-name issuers account for 25% of total fair value and represent our highest conviction names. I will now turn the call over to our Chief Financial Officer, Kris Corbett, to discuss our financial results.
Kris Corbett: Thank you, Laura. For more details, please refer to our quarterly report on Form 10-Q that was filed yesterday with the SEC. As shown on Slide 22, the portfolio had over $3 billion in investments of fair value on September 30th and total assets of $3.4 billion with total liabilities of $2 billion, of which total statutory debt outstanding was $1.7 billion. Net asset value of approximately $1.4 billion or $12.62 per share, was down slightly compared to the prior quarter. At quarter end, our statutory debt-to-equity ratio was 1.26 to 1 and 1.23 to 1 net of available cash from the balance sheet, which continues to be within our range. On Slide 23, we show our quarterly income statement results. For the quarter, we earned total investment income of $96 million, a 2% increase over prior year. Total net expenses of approximately $59 million increased 9% versus prior year. This increase in expense was a product of higher financing costs. Our adjusted NII for the quarter was $0.34 per weighted average share, which exceeded our Q3 regular dividend of $0.32 per share. As Slide 24 demonstrates, 98% of our total investment income is recurring in Q3. Historically, over 90% of our quarterly income is recurring in nature, and on average, over 80% of our income is regularly paid in cash. We believe this consistency shows the stability and predictability of our investment income. Importantly, positions generating non-cash income during the quarter are marked at a weighted average fair value of approximately 96% of par and over 98% of this income is generated from our green-rated names. Additionally, approximately 80% of this income is generated by positions that included PIK from inception. Turning to Slide 25, the red line shows the coverage of our regular dividend. This quarter, adjusted NII exceeded our Q3 regular dividend by $0.02 per share. For Q4 2024, our Board of Directors has again declared a regular dividend of $0.32 per share, as well as a supplemental dividend of $0.01 per share. On Slide 27, we highlight our various financing sources and diversified leverage profile. Taking into account SBA-guaranteed debentures, we have $3 billion in total borrowing capacity with $896 million available on a revolving line, subject to borrowing-based limitations. This represents our most significant availability since the inception of our business and highlights our strong liquidity position. During the quarter, we had a number of positive developments with respect to our liabilities and liquidity profile, including successfully negotiating a repricing of our Wells Fargo credit facility, which reduced our spread from SOFR plus 250 to SOFR plus 215, and more than doubling the size of our corporate revolver to $639 million, while lowering the spread from base rate plus 210 to base rate plus 190, and extending its maturity to September 2029 for extending lenders. Finally, as mentioned, we issued our second $300 million investment-grade bond that matures in October 2027. The proceeds from which were used to fully repay our higher-cost Deutsche Bank credit facility. The result of all this activity will particularly mitigate the aforementioned spread tightening seen in the market. Additionally, the facilities outlined in red represent further opportunities to see -- we see to refinance and reduce our cost of financing in the medium term. As a reminder, covenants under our Wells Fargo credit facility are generally tied to the operating performance of the underlying businesses that we lend to, rather than the marks of our investments at any given time, which we think is particularly important during volatile market conditions. Finally, on Slide 28, we show our leveraged maturity schedule. We’ve continued to successfully diversify our debt issuances, including two investment-grade bonds, increasing the size and extending maturity of our credit facilities to continue to ladder our maturities and have sufficient liquidity to manage upcoming maturities in 2025 and early 2026. Notably, over 75% of our debt matures in or after 2027, with near-term maturities representing an opportunity to continue to access the investment-grade bond market. With that, I would like to turn the call back over to John.
John Kline: Thank you, Kris. As we reflect on our performance over the course of 2024, NMFC’s credit quality continues to improve, our portfolio is more senior than ever before and we have made substantial positive changes to our liability structure with more opportunity ahead. Additionally, we believe that NMFC will have opportunities in 2025 to materially reduce its PIK exposure through the monetization of certain well-performing positions. In closing, we would once again like to thank all of our stakeholders for the ongoing partnership and support and look forward to speaking to you again on our next call in February. I will now turn things back to the Operator to begin Q&A. Operator?
Operator: [Operator Instructions] Our first question is from Robert Dodd with Raymond James. Please go ahead.
Robert Dodd: Good morning. Congratulations on earnings. On the portfolio credit stats on Page 20, I mean, obviously, the leverage in the portfolio has come down. If we go back to the beginning of 2023, I think you were at like 6.7 times. Now you’re at 6.3 times. Can you give us any comment on how much of that is a change in, if any, a change in the type of businesses versus how much is just businesses being put on with lower leverage multiples given rates, i.e., should we expect that to go back up to the high 6s if base rates come down meaningfully or is it a semi-permanent shift?
Laura Holson: Yeah. I think it’s a combination of things. I mean, I think you’re right in that over the last couple quarters, leverage has been constrained because of interest coverage when you think about new assets that were originating. But again, the reality is our portfolio has been around a long time and I think has been well-performing in different base rate environments and even in light of that, we’re comfortable. There’s not a big difference, in our opinion, between 6.3 times and 6.7 times. I think the thing that we take a lot of comfort in is the fact that enterprise value multiples haven’t moved that meaningfully over the recent time period. And again, the average enterprise value of businesses that we’re underwriting probably tends to be higher on average given the types of businesses that we’re lending to. So we focus a lot on loan-to-value. And I think from a loan-to-value perspective, and you’ve seen that in our stats that we report, which have kind of come down a little bit as well, our portfolio now on average is about 41% loan-to-value. So there is a lot of good equity cushion below us. I think it’s hard to know exactly as base rates evolve where leverage profiles on the types of companies that we lend to evolve. But importantly, that loan-to-value cushion has been there for a long time and I think that’s something that we take a lot of comfort in.
Robert Dodd: Got it. Thank you. On the PIK, and John, you mentioned you might be looking to potentially reduce that next year. But is that just a function of if the refinancing market comes back, you expect a large number of the PIK assets to get refinanced away? And if that’s the case, I mean, what’s your appetite to onboard new ones? I mean, to your point, a lot of that PIK is structured that way day one rather than modified because of poor performance. So is it a deliberate choice to hopefully get refinanced out of those and then not put new PIK assets on? Is that what you’re thinking about in 2025?
John Kline: Sure. I think that the refinance of the PIK that we expect is partially because of vintage, which I think you alluded to in your questions. We put on proactively good PIK-preferred investments three years, four years ago, and a lot of those investments are coming to the end of their life, they perform well, and we expect them to exit and we have some good visibility on that. In some cases, we just see the performance as being very strong on some of our PIK assets. And when assets and companies perform well, they tend to be sold by their sponsors and so that’s a driver as well. When we think about our PIK mix, I think we’ve acknowledged that we’re higher than where we want to be. And in our market today, there is modest natural PIK pressure that exists in the unitranche market. Namely, there are some loans that we underwrite and others underwrite where there’s a PIK option that the borrower has and so that is a little bit of a new trend that’s been in response to the higher base rate. So given that natural pressure for maybe slight increases in PIK, the fact that our portfolio is at a higher PIK level than we would like, I do expect us to replace PIK repayments with cash-oriented assets so that we can get just more in balance and get our PIK ratio down meaningfully. And I think our long-term target on PIK would be under 10% or 12%. And if we could get there, I think that would be a big improvement to where we are right now.
Robert Dodd: Got it. Thank you. One more, if I can ask you, so to speak. I mean, the SLPs, I just combined 3 and 4 together. I mean, they performed quite well. Their income was up fairly healthily sequentially in the quarter, but the combined dividends from the two was down sequentially in the quarter. So I mean, can you give us any, I mean, was that a timing thing, was there some decision by which the decisions of the individual SLP Boards on how they do that? But was there anything unusual this quarter with income up, dividend down from those two vehicles?
Laura Holson: No. I wouldn’t say anything unusual. You’re right that some of it is a little bit just timing related from our perspective. So no, I think the takeaway is that they’ve continued to be really strong performers. I talked about the underlying diversity of those portfolios there and those companies tend to are all, for the most part, all doing quite well. And so we’ve been very happy overall with the success of the SLP program, but the dividend is just a little bit, it can vary slightly quarter-to-quarter just based on some underlying nuances.
Robert Dodd: Got it. Thank you.
Operator: [Operator Instructions] Showing no further questions, this concludes our question-and-answer session. I would like to turn the conference back over to John Kline for any, pardon me, we do have a question from Paul Johnston with KBW. Please go ahead.
Paul Johnston: Yeah. Thanks. Thanks for taking my question. When you just mentioned you’re looking to layer in more cash pay assets versus PIK pays, I mean, does that mean you’re underwriting more assets that do not have the PIK option or you’re underwriting kind of more based on the expectation that the PIK election will not be utilized, I guess, at initial underwriting?
John Kline: When I think about our portfolio, the big opportunity we have as it relates to PIK is to exit certain 100% PIK positions to reduce the overall PIK exposure. When we think about the amount of PIK that could come from new conforming unitranche loans, that’s pretty minor. We feel very comfortable with offering a small PIK option on loans that are majority cash pay and so that’s fine. I think the opportunity that we have is to just reduce some of the chunkier PIK exposures that we have and then that will allow us to be even more comfortable giving our clients PIK options when they need it. Hopefully that addresses your question. That’s the way I think about it.
Paul Johnston: Yeah. That makes sense. That makes sense. And then last question I just had, you talked a little bit about in your remarks, but the spreads on the new investments, I’m looking at this Slide 17, kind of are in the $500 range, we’ll call it. There’s a couple added on there that are actually below $500. Is that indicative of where we are in the direct lending market of where spreads are or do you think this is more of a temporary phenomenon with higher repricing, add-on type of activity, and we’re still waiting for that bump in real new M&A?
John Kline: Sure. I’ll give my view and then Laura can add some comments. But my view would be that this is indicative of a tighter point in the market where we had just lower deal velocity and that push spreads down a little bit, which is why you’re seeing that the spread level that we’re seeing in Q3. My own perspective is that we are normalizing a little bit when we think about our pipeline right now, the average unitranche, and there’s some higher, some lower, but the average rate would be around $550. So I perceive that our pipeline has widened a little bit versus where we underwrote loans in Q3. And the big opportunity, and we’ll see if it comes to fruition, would be a lot more deal flow coming post-election and into 2025. But one thing that we do, part of our philosophy is we don’t want to reach for yield at the expense of credit quality. So if we have a period of time, like Q3, where yields are a little tighter, we have to take what the market gives us and not be tempted by doing B quality deals. So overall, I feel decent about the environment, but would acknowledge that in Q3, the new asset originations had lower spreads than potentially what we’ll see going forward.
Paul Johnston: Thanks for that. It’s very helpful. It’s all for me.
Operator: The next question is from Bryce Rowe with B. Riley. Please go ahead.
Bryce Rowe: Thanks. Good morning. Sorry for jumping in the queue kind of late here. John, I wanted to -- you’ve got a recent press release extending the buyback. Stock’s a bit weak from a price and NAV perspective. Just want to kind of get your feel for appetite to use the buyback and if you’ve got any parameters around valuation. I think the stock rarely trades below 90% of NAV historically.
John Kline: Yes. Thanks for the question. The stock has been weak. I do perceive it’s a reflection of the amount of PIK we have and we’ve been very upfront about that. And we think that there are big opportunities in 2025 to potentially reduce PIK, maybe release some of our equity positions, continue to improve the financing, which we’ve done a good job of in 2024. So that’s my belief on the weakness in the stock and we’re very focused on strengthening the story and strengthening the performance. I think the stock buyback is in place. It’s in place because we want -- we would like to have the ability to use it if we think it’s in the interest of NMFC and our shareholders. And so we’re going to have a very open mind about that and we’re going to do the math, and we’re very, very focused on defending the stock and we would acknowledge that typically we do trade above 90% of book and most times a lot better than that. So it does have our attention and we are very focused.
Bryce Rowe: Yeah. I appreciate that. On the kind of the liability side of the balance sheet, you all have talked a lot about opportunities for repositioning, so to speak, and you’ve done quite a bit of that. You do have the SBA maturity coming up in 2025. Just optically, that’s going to take your regulatory debt-to-equity ratio higher. Is that -- are you sensitive to that? And then if you could speak to -- I know we’ve talked about this in past calls, but any update in terms of trying to access another SBIC license?
Laura Holson: Yeah. I mean, I think we’ve always talked about our target leverage range and the 1 times to 1.25 times range. So we definitely are well aware of the SBIC 1 maturity upcoming and we take that into account as we’re doing our liquidity planning and financing planning as we look into 2025. So we have some ways of how we think about that, but again, no change to our target leverage range of the 1 times to 1.25 times. And then when we think about the go forward on SBA program, no material updates. We’re still in the process.
Bryce Rowe: Okay. And Laura, any thoughts? I mean, I guess, you’ve got this call period coming up for the Baby Bond and the maturities that are maybe later in 2025. Any thought around front-running some of that and maybe locking in some financing now before you -- who knows what’s going to happen with the market?
Laura Holson: Yeah. Well, I think that’s what some of the activity that Kris described, that’s what we’ve been trying to do, right? So we just recently issued the second investment grade bonds, the $300 million that we just did a couple weeks ago. We also upsized our corporate revolver. So we do feel like we have gotten ahead of some of those maturities and it’s certainly important from just a planning perspective. We recognize there could be market risk, et cetera. So that was the main reason why we kind of got that deal done when we could and then planning ahead for those upcoming maturities that you noted.
Bryce Rowe: Yeah. Okay. Appreciate the time. Thanks.
John Kline: Thank you.
Operator: [Operator Instructions] Showing no further questions, this concludes our question-and-answer session. I would like to turn the conference back over to John Kline for any closing remarks.
John Kline: Well, thank you, everyone, for joining our third quarter conference call and we very much look forward to speaking with you again in February.
Operator: The conference is now concluded. Thank you for attending today’s presentation. You may now disconnect.